Operator: Good morning and welcome to the GeoPark Limited Conference Call following the results announcement for the First Quarter ended March 31, 2021. [Operator Instructions] If you do not have a copy of the press release, it is available at the Investor Support section on the company’s corporate website at www.geo-park.com. A replay of today’s call may be accessed through this webcast in the Investor Support section of the GeoPark corporate website. Before we continue, please note that certain statements contained in the results press release and on this conference call are forward-looking statements rather than historical facts and are subject to risks and uncertainties that could cause actual results to differ materially from those described. With respect to such forward-looking statements, the company seeks protections afforded by the Private Securities Litigation Reform Act of 1995. These risks include a variety of factors, including competitive developments and risk factors listed from time-to-time in the company’s SEC reports and public releases. Those lists are intended to identify certain principal factors that could cause actual results to differ materially from those described in the forward-looking statements, but are not intended to represent a complete list of the company’s business. All financial figures included herein were prepared in accordance with the IFRS and are here stated in U.S. dollars, unless otherwise noted. Reserves figures correspond to PRMS standards. On the call today from GeoPark is James F. Park, Chief Executive Officer; Augusto Zubillaga, Chief Operating Officer; Andrés Ocampo, Chief Financial Officer; Martin Terrado, Director of Operations; and Stacy Steimel, Shareholder Value Director. And now, I will turn the call over to Mr. James Park. Mr. Park, you may begin.
James Park: Thank you and welcome everyone. We are joining you this morning with our executive team spread out in Bogota, Buenos Aires, Santiago and Houston to report on our achievements and financial results during the first quarter of this year. We have presented our specific numbers in our release yesterday, so I would like to highlight and focus here on the bottom line, which helps capture our performance so far this year and our growing financial strength. The powerful cash generation from our exceptional low-cost asset base allowed us to successfully carry out three key initiatives during this period, all funded with our own cash flow. First, a more robust investment program, in March, we expanded our work program up to a total of $130 million to $150 million to do more exploration and development with more drilling, 37 to 42 wells; more seismic to delineate more plays and prospects; and more facility and infrastructure construction on our proven producing fields and our high-impact exploration opportunities. GeoPark has accumulated a land base of 7 million acres in 10 proven hydrocarbon basins across Latin America, including 1.4 million acres in our prime Llanos Basin focus area. Second, a stronger balance sheet, we improved our financial muscle in a deleveraging exercise, which succeeded in reducing debt by $105 million and extending maturities and reducing interest costs as well as positioned us to do further de-leveraging later at our option. This was accomplished by using our available cash to pay down debt in our 2024 bonds and opening up our 2027 bonds for an additional $150 million to absorb an approximately equal amount of the 2024 bonds. Our process was oversubscribed multiple times by top-tier investors, and we were rewarded with record low interest rates for a B-rated issuer in Latin America. Third, giving back to shareholders, we have delivered tangible value to our shareholders by: a, improving the underlying value of our company; b, buying back GeoPark shares in the market; and c, paying cash dividends. As always, the foundation for GeoPark’s performance is our in-house integrated value system we call SPEED. We continue to push forward our SPEED initiatives which predates and is more comprehensive than ESG, and is helping us achieve our goal of having the cleanest and kindest hydrocarbons. This also includes our continuous and successful efforts to safeguard our team, communities and operations from a lingering COVID in the region. 2021 is well underway and we are moving ahead in all aspects of our business. We have 6 rigs at work and more on the way. Seismic is being run to identify new prospects, and our team is fully engaged in getting every molecule of oil and gas safely, cleanly and profitably out of the ground and to market as well as to capture the abundant opportunities we see ahead. Thank you. And we would be pleased to answer any questions you may have.
Operator: [Operator Instructions] Our first question comes from the line of Stephane Foucaud of Auctus Advisors.
Stephane Foucaud: Good morning. A few questions for me, but three actually. Could you walk us through the sequencing of the upcoming exploration program until the end of ‘21 to be minus of that? Second, I noticed that still the CapEx program is based on $50, $55 a barrel. At what point would you feel confident enough to increase the drilling program for 2021 given you are almost at $70 a barrel? And lastly there has been some cash tax payments in Colombia in Q1. I think there is something like $40 million in the current tax payable, could you confirm that it is the amount you would expect to pay over the balance of the year in terms of cash tax in Colombia and not something else? Thank you.
Andrés Ocampo: Thank you, Stephane. Good morning. This is Andrés. Can you please repeat your first question? It didn’t come very clear.
Stephane Foucaud: The first question was around if you could walk us through the sequencing of the upcoming exploration drilling program. So, what well and when on the exploration side?
Andrés Ocampo: Great. Thanks very much. Well, we have now brought the third drilling rig to Llanos 34 and expect to commit full-time operating probably as we speak and drilling back-to-back wells until the end of the year. That is going to be a combination of development, appraisal and exploration wells. The timing and the campaign usually switches from time to time. It depends on licensing, availability of the land, having the locations ready, but we are expecting to be drilling in total around 3 to 4 exploration wells in the second half of the year. That’s not only in Llanos 34, but also including CPO-5. So that is more or less what we have planned. It may change. So that’s why initially we are not very precise on when and the timing of each of these wells because they do switch around a lot. Then with respect to the possibility of expanding our CapEx program if oil prices remain higher than the $50, $55 at which we run the revised program that we announced, so far, we are keeping the program as it is with roughly $150 million of CapEx for the year. We may decide to add more towards the second half of the year. But for now, that’s the program that we are keeping. And then as you probably saw the announcement, we’re also now incorporating as part of our uses of cash of potential excess cash, not only the incremental shareholder value initiatives, namely share buybacks or dividends, but also reducing the total size of the debt as we did a few weeks ago. With respect to the cash payments, the $30 million we paid in the first quarter, including $10 million of deferred taxes that we deferred from last year, so around $10 million taxes related to this year, we are expecting more or less $45 million in the second quarter and from which around $10 million corresponds to taxes from last year. And that’s pretty much it. There may be $2 million, $3 million in the third quarter. It’s a small amount. But that’s more or less the total for the year, $60 million, $65 million in total, including the first quarter.
Stephane Foucaud: Wonderful. Thank you.
Andrés Ocampo: Thank you, Stephane.
Operator: Our next question comes from the line of Alejandro Demichelis of Nau Securities.
Alejandro Demichelis: Yes. Good morning, guys. A couple of questions actually both follow-ups from the previous questions. So, could you please confirm how many wells you are planning to drill on CPO-5? And was – and when you start – did you start drilling on those, because I can see on your latest presentation that you mentioned 4 wells to be drilled, but I just want to confirm that? So that’s the first question. Second question is Andrés can you please walk us on the cash conversion say from EBITDA into the operating cash flow basis, because on top of the cash tax, how should we think about the working capital requirements for the company?
Andrés Ocampo: Thank you, Alejandro and good morning. In CPO-5, we are planning something around 4 to 6 wells hoping to start drilling around August, September this year. Those wells will include probably 2 development wells and something between 3 to 4 exploration wells. It is not fully defined yet, but probably 3, 4 exploration wells and 2 development wells in CPO-5. And then we recorded $66 million of EBITDA in the first quarter and we paid cash taxes of $21 million. As said before, $10 million of that was last year’s taxes. We had working capital requirements of $8 million. So, the cash from operations was around $36 million in the first quarter. I don’t know if that addresses your point. The working capital requirements are basically related to the 50 to the level of activity and that’s pretty much it. There is no change in the days of payables or the days of receivables. We are operating completely in full business as usual. So during the second quarter, we are adding another rig, so we are increasing the CapEx. So, we only recorded $20 million of CapEx in the first quarter. That’s around 15% of the total program of the year. So, as the CapEx requirements start to increase through the quarters, our working capital financing will start also coming up, but it’s pretty much business as usual in the first quarter.
Alejandro Demichelis: And what would be your expectation of the extra working capital requirements say between now and the end of the year then?
Andrés Ocampo: Sorry, can you say that again?
Alejandro Demichelis: Yes. So what would be your expectation of the additional working capital requirement between, say, now and the end of the year?
Andrés Ocampo: Just to continue to be the typical that we record every quarter associated with the level of activity. So we may have more financing from vendors, as I said, as we continue picking up our CapEx, but we should also have more bigger receivables if oil prices continue to increase. So nothing significant or out of the ordinary cost of business we’re expecting with respect to our working capital requirements on a quarterly basis.
Alejandro Demichelis: Okay, that’s great. Thank you.
Andrés Ocampo: Thank you.
Operator: [Operator Instructions] And we have a question from Stephane Foucaud of Auctus Advisors.
Stephane Foucaud: Yes. Again, two follow-on detail a bit for me. Have you already got the result of the Batara well? I think it was an exploration well that was that you spreaded at the time of the operational date for 1Q. And then I saw that the OpEx per barrel in Llanos 34 in Colombia was up a bit in 1Q, I think, about $7 a barrel. How do you see OpEx per barrel evolve at – in Colombia in the remaining half of the year? Thank you.
Andrés Ocampo: Thanks, Stephane. Your first question was about Batara prospect if we have results on that well already?
Stephane Foucaud: Yes.
Andrés Ocampo: Okay. We don’t have results on the well yet. We are expecting over the coming weeks. The activity, the drilling is still underway.
Stephane Foucaud: Okay.
Andrés Ocampo: And then with respect to your question about OpEx, the first quarter was – we had higher well services because we have more wells down than we usually have. So we had to do more well services in the first quarter. That’s why you see a pickup in the OpEx in the first quarter. That should normalize back to $6.5, maybe go down by $0.50 in the following quarters, something between $6 to $6.5 per barrel which is we are more used to see.
Stephane Foucaud: Okay, thanks. 
Andrés Ocampo: Thank you.
Operator: Our next question comes from the line of Ray Deacon of Petro Lotus.
Ray Deacon: Yes. Hi, good morning. I was wondering if you could talk about the three to four exploration wells on CPO-5. Could – is it possible that when the results of 3D are fully interpreted that, that number goes up or is it too early to know?
Martin Terrado: Hello, Ray. Good morning. This is Martin Terrado, Director of Operations, and I can certainly take that question. CPO-5 is a growth engine for us. And we have a lot going on right now on that asset. If you are familiar, we have two discovered fields, which are Indico and Mariposa producing from the Ubaque formation. That is one of four plays that can be tested in this block. This block is around 6x bigger than Llanos 34. And one of the plays that we see has the most potential in addition to Ubaque is the continuation of Jacana/Tigana from Llanos 34, the Guadalupe and Mirador. So just like you are saying, we have already identified with our partner more than 10 locations with coordinate. And in addition to that, we see potential in the areas where we’re doing seismic. We have finished the seismic in the center of the field, 250 square kilometers. So we have, again, area to continue finding prospects and vertically to continue testing. So the rig that we will be starting in the second half of the year has a multiyear program, and we expect to have rigs running there to not only continue developing the Indico, Mariposa but also the drilling, the exploration and developing the future discoveries. Right now, Indico-2, our latest well that was drilled last year is producing 6,200 barrels of operating light crude, flowing naturally. The OpEx per barrel for that asset is less than $2 per barrel. So we’re really encouraged about the future of the CPO-5.
Ray Deacon: That’s great. And just two more quick ones, what are you seeing in the M&A market that looks interesting? And what do you expect cash taxes to be for the remainder of the year?
Andrés Ocampo: Sorry. Can you – Andrés here, Ray, can you ask the – repeat the second question, please?
Ray Deacon: Sure. Just cash taxes, I was wondering how they would look for the second half of the year.
Andrés Ocampo: Okay. So I will answer the second first. We paid $20 million – $21 million in the first quarter, and we’re estimating for the second quarter, something around $45 million. That’s $10 million of last year’s taxes deferred to this year, and the rest corresponds to this year’s taxes. And then maybe additional $3 million in the third quarter as well. That’s our estimation for this year cash taxes.
Ray Deacon: Got it. Thank you.
Andrés Ocampo: With respect to the M&A opportunities, obviously, it’s hard to comment on a conference call. It is part of the company’s business model to explore and find oil and gas in the lowest cost-efficient operator and also continuing to find new opportunities or new acreage for us to continue adding to our acreage position and to expand our organic portfolio. I think one of the most important elements that happened in the company over the last couple of years was the significant upgrade on our organic portfolio during the significant land grab that we did in 2019 at the beginning of 2020 in the Llanos Basin in Colombia. We migrated from an 80,000 acre position, which is Llanos 34 to over 1.5 million acre position around and on trend of Llanos 34 of additional acreage in multiple different transactions. That’s a different participation in bidding rounds in partnership with Ecopetrol and other companies. And then it ended with the acquisition of Amerisur at the beginning of last year, which gave us an entry to the Putumayo Basin but also gave us a participation in CPO-5. So my point here is that we continue always looking for opportunities that can contribute to the net asset value of the company. However, as we have expanded and enriched our organic portfolio so much over the last couple of years, I would point out that any opportunity that comes would really need to be unusually attractive or would have to be very, very attractive for you to make the cut when competing for capital with our so rich organic portfolio. So that was a very long answer, but what I’m trying to say is we’re conservative selective buyers. And if anything, we will become even more selective given the recent expansion that we did over the last couple of years.
Ray Deacon: Got it. Thank you. And could I just ask one more regarding Chile? Is there – that green hydrogen project that was announced, is there a potential that you – it could be involved in supplying natural gas to that?
Andrés Ocampo: No, I think that’s not associated to our operations. And no, no, have not looked at that idea.
Ray Deacon: Got it. Thank you.
Operator: At this time, I’m showing no further questions. I’d like to turn the floor back over to Andrés Ocampo for any additional or closing remarks.
Andrés Ocampo: Thank you everybody for your interest in GeoPark and your continued support of our company. The world’s borders begin to open again. We encourage you to please visit us at our operations in this country and our shareholder value team has accelerated their interactions and is busier than ever with webinars, videoconference and direct calls and is available around the clock, as is our management team, to answer any questions or listen to your comments. So, thank you and please stay healthy and strong.
Operator: Thank you, ladies and gentlemen. This does conclude today’s conference call. You may now disconnect.